Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers' Investor Conference Call to discuss the Second Quarter of 2020 Results and Recent Development. During today’s presentation, all parties will be in a listen-only mode. And following, the presentation the conference will be opened for question. [Operator Instructions] This conference is being recorded today. A replay of this call will be available starting later today in the Investors section of Research Frontiers' website at www.smartglass.com and will be available for replay for the next 90 days. Please note, that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecast and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs, and a number of important factors that could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be entering many of the questions that were e-mailed to it prior to this conference call, either in the presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to the call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. [Operator Instructions] Also, we ask that you keep your questions brief in the interest of time. I'll now turn the call over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thank you, Erika, and good afternoon, everyone, and thanks for being here. Joining me today is Seth Van Voorhees, he's our CFO and we're here in person, which is -- feels good after working remotely for so long. For all of us, the world changed in March. Here in New York we went into self-quarantining mode and all started working remotely the day after our year-end conference call on March 12th. Research Frontiers physical offices reopened in May as did much of the world's automakers and other businesses. But even though we were not able to travel freely and we worked remotely for most of the quarter, our second quarter was still one of a number of visible and significant accomplishments. In April, our licensee Gauzy announced that industrial companies Hyundai and Avery Dennison had made substantial investments in their company. These strategic investments are good for our company and good for our industry and bode well for the use of SPD in future vehicles and architectural applications. Based upon our increase in market value related to other public companies, we were also selected for inclusion in the Russell 2000 Index in May and joined that index in late June. This year so far our stock is up over 35% compared to the Dow, which is down 4%, the S&P, which is up 3.6%, NASDAQ, which is doing well at 23% -- 23.5%; and the Russell 2000, which we're now part of which was down 7.4%. So the NASDAQ is doing well and we're doing very well it seems. Earlier this week, the world's largest sun visor supplier in the automotive industry, Daimei announced a license with us. We're going to talk about that later. And economic activity has certainly restarted both here in the United States, in Europe, and in Asia. While the manner of conducting business has certainly changed, the need for innovation certainly has not diminished and has even gotten stronger. We take the health and safety of our employees and the people we do business with quite seriously, but that does not mean that we have slowed down at all. For example, last week I drove to Detroit to meet with various automotive OEMs to discuss multiple projects for SPD. These meetings were conducted in company parking lots and other remote locations. This week I met again at remote locations about other automotive applications for OEMs and for the aftermarket. In-person meetings have picked up but the locations still remain nontraditional. The COVID-19 pandemic has forced all of us including the large companies that we deal with to be more results oriented and efficient in how we conduct business. This has certainly helped Research Frontiers. Make no mistake though it was a tough quarter for everyone in the automotive industry. And if you listen to the replay of our last conference call, we predicted a much lower second quarter for the entire automotive industry. If we look at the major automotive manufacturers and component suppliers, you will see the magnitude of how the industry's numbers were affected. In the premium segment, Mercedes sales were down 22% and BMWs were down 39% in the second quarter where BMW posted their first quarterly loss in 10 years. Car sales in Germany were reportedly down 61% in April due to the coronavirus. And less than two weeks ago Gentex reported a second quarter net loss and sales down by 51% in total. In their primary markets of North America, Europe, Japan and Korea sales were down 59% for the second quarter of 2020. RFI did a bit better than that in terms of our fee income from automotive. However, even with economic activities down throughout the automotive industry, there's every reason to be optimistic. Despite a really bad second quarter with Gentech sales down in their primary market as I mentioned by 59%, they do expect a rebound and that light vehicle production in the second half of the year to decline by about 7% and a total of 20% for the full 2020 calendar year. So a somewhat firm recovery will make up for the almost nonexistent production in the automotive industry during much of the second quarter. Some companies though do not do so well in our industry. View announced large losses and large layoffs. I believe that all of this just highlights the wisdom that our founder Bob Saxe instilled in all of us about keeping overhead and expenses and capital expenditures low while building a scalable business. This aspect of our business model and our corporate culture has helped us weather the storm of the pandemic and we remain strong fiscally. When we back out nonrecurring charges and noncash accounting effects, 2019 represented the fifth consecutive year that expenses at Research Frontiers have decreased and the sixth consecutive year of lower operating losses for your company, compared to the prior year. This trend of lower expenses and lower losses continued in 2020. Our net loss for the first half of 2020 was less than half of the same period last year. Our net loss per share for the first six months of 2020 was $0.03 per share, which is down from $0.07 per share for the same period last year. And as bad as the second quarter was for everyone, we approached breakeven in the second quarter with a loss of just $0.01 per share which was down from five times that amount per share in the second quarter of last year. Expenses during the first half of 2020 were down over $450,000 or over 20% from last year. We have a strong balance sheet. We have over $5.8 million in cash, which represents at least an estimated 34 months of cash reserves moving forward. And I've noted consistently in our conference calls together that we judge our performance in three main areas, financial stability, operational efficiency and business growth. We already spoke about the first two areas. Financial stability and operating efficiency not only give us the resources to accomplish our targets, but they are especially important during volatile business and market periods like the current pandemic. Now, let's discuss the thread component and our key initiatives in the areas of business growth that we outlined in prior conference calls. Expanding our business and where SPD smart technology is being used is very important. Moving forward you could see another hallmark of where we've been driving our business. Growth and diversification, both in terms of diversity geographically and diversity by industry. We spoke about the importance of this as a strategy in our last conference call. I noted earlier a number of new automotive projects and this is also extended to new architectural projects as well. And I will talk about later. And as I will talk about later, shipments of products using our SPD technology for the consumer electronics display market have also commenced. While in the past, most of our OEM business in the automotive area was in Europe with Mercedes and McLaren, there has been a noticeable increase in activity and projects for SPD in Asia and in North America as well. We are also seeing a diversification in automotive, not only geographically as noted above, but also by segment. As expected, costs have come down in all areas of our supply chain and we are seeing a migration of interest from the premium segment to less expensive cars. So what can we expect in the automotive market? In the last conference call, I noted that some of the -- in the automotive industry expected a strong rebound in automotive in areas that have begun to reopen. The numbers since then seems to bear this out. Ride-sharing has become less desirable and there's been an increased demand for private ownership of vehicles. Cars are flying off the lots of dealerships, especially in areas most heavily hit by the COVID-19 pandemic. Demand is up for cars, which means that production must increase to supply this demand. In the aircraft market with airlines in financial trouble canceling flights and less able to permit passengers to permit social distancing, private aircraft may indeed benefit from the current pandemic. And one of our strongholds in the aircraft industry is in the general aviation market and the ability of our SPD technology to be retrofitted onto existing planes and that's a key advantage. So our business in aerospace is particularly focused on the private aircraft market. We saw within the last month one of our licensees added a new private jet to their expanding list of aircraft that they supply to. We now are standard equipment on six private aircraft and in an aftermarket upgrade option on over 40 additional aircraft models. Another important and growing market for Research Frontiers and SPD-SmartGlass is the architectural market. And one area of particular interest is the use of smart glass in hospitals and another in homes to making working remotely more productive and pleasant. And of course there's the traditional view preservation and energy efficiency that we've always been the hallmark of. The architectural market is important. It uses twice as much of the world's glass as the automotive market. It is potentially our largest market. And with the opening of Gauzy's Stuttgart factory in the fourth quarter of 2019 and its ability to make SPD film 1.8 meters wide, this allows us for the first time to practically address the large potential architectural market. One particular area of interest in the architectural market is, as I mentioned the use of smart glass in hospitals to reduce germs. And our licensees have been quite active in their marketing and business efforts in this area. And as the world returns to normal again in the architectural industry, we're also seeing an uptick in interest in the more traditional use of SPD-SmartGlass energy efficiency. Architects and designers and facility managers are going back to the basic principles. Increased use of glass is good for people and for design, but for the attendant solar heat gain that needs to be managed. This is an area where we do particularly well, as we have the best solar heat gain coal efficient of any smart glass in the world. In our last conference call, I noted that another area that may benefit from COVID-19 and this pandemic is the information display market with many people setting up their homes for working remotely and realizing they could get work done productively there. They've been spending money in this area. And as we discussed in earlier investor conference calls, Research Frontiers main participation in the display market is the business of that of our licensing a 5G glass that they have for next generation televisions and other information displays that use SPD technology to improve picture quality. Products in this area began to shift and we are optimistic that this could also be a new and significant source of revenue for us and our licensees especially as a result of the growing demand for more efficient homework spaces. We received by e-mail before this call questions from investors and we addressed many of the general topics in our presentation today. But here are some of the additional questions that were e-mailed to us. Okay. The first involves Kevin Douglas. Kevin Douglas filed his intention to sell 20% of his position in June of which he has almost completed. Since he has been the largest shareholder and supporter for so many years, many are concerned that his view has changed regarding Research Frontiers prospects so that he will make another filing to continue to sell. Is there any feedback from him that you'd be able to comment on regarding the sale or confidence in the company and that was from Sam Penta, another shareholder Mr. Claire Houghton says about Kevin Douglas is he concerned about the future of Research? Is he selling for proposal reasons and will he be selling more shares? Well I got a courtesy call from Kevin Douglas before he started selling. And he told me that it was for personal reasons. And we -- there are various reasons why someone would have to sell his stock. But he did make a point to let me know that he was quite pleased with our company. Certainly, we were one of the better if not the best investment in his portfolio. And he did have to file because he owned more than 10% of the company. So anytime you sell you have to file what's called a Form 144. And he filed a Form 144, representing about 20% of his holdings. And he sold out of that amount, maybe about two-thirds of it already or maybe a little bit more. So – and I just note that, it wasn't for lack of confidence, it was for other reasons and the market seems to have been able to absorb that quite well. So that answers the question I believe about Kevin Douglas. And we speak to each other. He's been very helpful for the company in many respects, introducing us to key people within the industries that our technology is used in and he's been a great shareholder since 2012. So we certainly appreciate his continued involvement with the company. Sam Penta also very excited to hear about the new sun visors licensee Daimei. How quickly can an automaker implement an SPD visor versus what's in the McLaren's windshield? We did say that we could have both markets covered here with the flip-down smart visor and visors built into windshield as seen on the McLaren's C12. And also Sam Penta had asked about loving the new Mercedes jeep and is it going to be available for the aftermarket? So let me take a couple of those questions about Daimei. First of all Daimei for those who don't know is the largest sun visor manufacturer in the world. They've bought in addition to business they grew they bought Johnson Controls sun visor business and they're pretty much in every vehicle around the world. They're in my Mercedes, because when the CEO was sitting in it he was pointing out all of the different components from the sun visor to even the mirrors that Daimei makes. And it is different than what's in the McLaren. McLaren built the sun visor in the windshield by putting the SPD film there. In Daimei's case, it's a flip-down sun visor and it's both for the OEM market and for the aftermarket. Someone else had asked about how quickly can OEMs adopt this or is this just going to be to the aftermarket? What you typically find in the automotive industry is that things start in the OEM market and it's usually, because of a specific requirement by an OEM manufacturer. So one of the carmakers would have an interest in something, they would ask their suppliers to try to provide it to them. And then typically when the product development people start getting together, they think of ways of not only making it better than what was requested but also supplying it to a broader range of original equipment and aftermarket customers. Another shareholder asked, what's the latest on the CO2 emissions for European car manufacturers? As we mentioned this would be a big win for Research Frontiers. That's very true. In Europe, there's a penalty for not meeting the CO2 emissions and it's a penalty of 95 grams per kilometer that you don't meet the standards. And we can save four grams per kilometer. So that's €380, a bit over $400 a car in avoided penalties from that. It was going to be addressed initially by the diesel market but with the diesel gate scandal and people moving away from diesel and more towards electric and gasoline, internal combustion engine cars. Diesel became a non-solution and they had to find something else. So that's very helpful for us. Rod Erdman [ph] asks how much of the electromagnetic spectrum does SPD block? So in the visible light, we're blocking pretty much throughout the visible light spectrum. So that's from about 400 to about 470 – 720 nanometers, which is the visible spectrum. And that's the area that we control with the SPD film. We also block through the construction of the SPD windows, UV at 405 nanometers. Most UV blockers will only go to 350 to 385. We go up to 400. And in the infrared, which is the other area of the spectrum above 720 – I'm sorry it's the ultraviolet. You're talking about blocking over 99% of the infrared. So when you break it down, we're basically controlling the entire visible light spectrum and effectively blocking full time most of the IR and most of the UV that can damage people. Jeff Nicholson [ph] asked, I was hoping you could comment on this release by Volkswagen. It's about their camper, the Caddy Camper. And they talk about a dimmable roof panel in roof. Until an automaker makes a connection between what technology they're using and us, we can't say anything. We were fortunate in the case of Mercedes and McLaren to be able to do so. We've had a long-standing relationship with Volkswagen. It goes way back. We've also – we're asked about the BMW Vision iNEXT concept car and is anything confirmed yet for the 2020 production model. We also – we have the same restriction and that we can't say anything about specific manufacturers until they do. But we also have a long-standing relationship with BMW. And what they have shown publicly is the roof of the Active Tourer concept as well as some other vehicles. And the same thing with Audi, they've had a number of vehicles. And elsewhere in the Volkswagen roof, they're definitely SPD-centric projects going on there as well. So we're quite excited about the fact that it seems like almost every automaker is now waking up to the fact that glass is good. But the solar heat gain from the glass needs to be protected. So with that, what I'd like to do is ask Erica, our operator to open up the conference call to any additional questions that people today may have that we haven't already covered.
Operator: [Operator Instructions] Our first question comes from Michael Kay. Please state your question.
Unidentified Analyst: Hello.
Joe Harary: Hello, Michael. How are you?
Unidentified Analyst: Yes. Hi, Joe. I'm glad everyone is safe and sound and that you still will continue to do the great job during the -- this virus situation. What happened I always thought and I think you even once mentioned it several years ago that the Vision Systems was like a model licensee and they built a data plant dedicated to SPD in Florida. So it's been some time. What happened to the aircraft sun visors that were supposed to be also for the retrofit market? And you think now that the Daimei company came aboard this could be good. It would give them some competition and may facilitate the marketing of the product.
Joe Harary: Yes. So Vision Systems still has their sun visors product. It's been mostly targeted initially towards the higher-priced market where you need large area sun visors. So think about things like trains, trucks and aircraft cockpits where you're talking about large surface areas. And remember Michael the -- one of the benefits of SPD technology is the fact that as we get larger we don't get slower. So it becomes ideal. And the fact that it's a plastic film also is helpful in all environments where sun visor is being used. And it's a interesting question would the entrant of Daimei into the mix give them some -- a little proud and a healthy competition for the passenger car market. I think it would. Vision Systems though it's primarily been focusing on different transportation vehicles than passenger cars where as Daimei is the largest in the world in that area. So it could be that they kind of each go in their own unique areas. But Daimei also can do trucks. Their license permits them to do fairly large sun visors. So it should be an interesting horse race.
Unidentified Analyst: Okay. Thank you. Keep safe and well.
Joe Harary: Thank you. And I hope you saw me waving to you when I was driving back from the trade.
Operator: Our next question comes from Neil Gottlieb. Please state your question.
Unidentified Analyst: Hi, Joe. How are you doing?
Joe Harary: Good. How are you?
Unidentified Analyst: Doing well. My question comes from looking at the --I guess the financial statements. When do you foresee the company becoming cash flow positive from an operational standpoint and not having to go to the market for a special onetime things like the PPP to fund the business.
Joe Harary: Well, we don't believe we're going to have to go to the market for at least the next 34 months which is our cash reserve. So we may never have to go to the market again. And I really hope with all my prayers that we never see anything like COVID-19 again and that vaccine has developed. I mean I had a personal loss. My father-in-law passed away from it suddenly in April.
Unidentified Analyst: Sorry to hear that. My condolence.
Joe Harary: Thank you. But we're getting close to breakeven. And the only thing that I think is a speed bump along the way is that nobody knows how fast the automotive market is going to rebound. I've seen some predictions that in two years we may level back hit the pre-COVID levels. Some people are more optimistic some people are less optimistic. But until our business becomes more centric on architectural and other areas, we're going to rise and fall with the automotive market. So your view of automotive is probably a good view of where our revenues will be. And where we -- what we're trying to do to supplement, it is just to have more and more and more and more projects in automotive. So that even if the volume by manufacturer goes down, the total number of products using SPD in automotive will go up just by virtue of the size of the large number of projects and the high volumes from new entrants into there. And costs coming down certainly makes as I mentioned this more feasible and causes to start getting migrated down towards lower-priced cars than the Mercedes and McLaren that we're on.
Seth Van Voorhees: Joe, if I might add another way of answering that question would be the following. In our Q, we talked about our cash burn -- our quarterly cash burn. Projections at being $450,000 to $500,000 per quarter, which comes down to about $2 million in -- over a 12-month period, and our business is essentially 100% margin business. So that if we had $2 million of additional royalty related activity that would drive $2 million of additional cash for the company which would approximate a breakeven level.
Unidentified Analyst: Yes. I mean I applaud all your efforts in getting the technology into diverse products. I'd just like to see a little more, I guess, repayment if you will or as you just pointed out more cash flow which would be shown up here in the statements and such.
Joe Harary: Right. Well, one thing that we have done and maybe I could kind of telegraph what I was going to say as part of my closing remarks, is that we've invested $110 million to develop SPD in the markets. We became the best performing most reliable smart glass technology out there. Now our -- so we've proven the technology. We've solidified the performance. We've shown the reliability in probably the most demanding place that you can be which is on a sunroof of a Mercedes because they're very particular about what they put on their cars and the sunroof is the most difficult environment to be in. Now our job is really, really clear turn this into money, turn this into revenues. And that's been the very, very focused sustained effort that we've been doing. And it's with the help of some very talented licensees and their marketing and business development teams as well as ours. And just some good old fashioned hard work and focus. So we know what we have to do and that's our focus now. We don't have to get the technology out of the lab and into the real-world or prove that it's reliable. Now all we have to do is turn it into money.
Unidentified Analyst: Yes. Look to guys and – I wish you all the luck and best efforts you can put forward. And let’s hope.
Joe Harary: Looking for fruition.
Unidentified Analyst: Thanks.
Joe Harary: For a while.
Unidentified Analyst: Okay.
Joe Harary: Good. Thank you. Appreciate the trust.
Unidentified Analyst: Yes.
Operator: Our next question comes from Allen Ginsberg.
Unidentified Analyst: Yes. Hi, Joe.
Joe Harary: Hey, Allen. How are you?
Unidentified Analyst: Okay. Pretty well. The acquisition of Hitachi Chemical, you haven't talked about that. Could you give us some color on that? So we know whether the acquiring company for example it's going to be a licensee. And how that's going to affect the production of the film if it affects it at all? But that's something...
Joe Harary: Yes. Thanks for the question Allen. It shouldn't affect it at all. Hitachi's license allows them to transfer it to the successor of their business interests. So the new owners certainly can continue to do that and they have had a record year last year in terms of SPD film sales and that's a 12-year record so...
Unidentified Analyst: But if you’ve been – have you been in touch with the inquiring company to see what their interest is in continuing to produce a film?
Joe Harary: No. First of all, the acquisition is not completely consummated. And second of all, we deal directly with the people within the SPD group at Hitachi, which we're still dealing with. So everything is pretty much status quo in terms of post-acquisition compared to pre-acquisition. So thanks for the question. So thanks for the question.
Unidentified Analyst: So they're still – they're still producing film.
Joe Harary: Yeah. Yeah.
Unidentified Analyst: Okay. Thank you.
Joe Harary: Thanks a lot.
Operator: Our next question comes from James Wilde [ph]. Please state your question.
Unidentified Analyst: Hey, Joe.
Joe Harary: Hey. How’s is it going, Jamie?
Unidentified Analyst: Just a quick question. I've seen a lot of these transactions where you signed with the Daimei transaction. Why not consider getting an upfront royalty payment and some kind of guaranteed income soon as you're signing these deals?
Joe Harary: We typically do. We have an upfront fee usually in our license agreements and a minimum royalty every year.
Unidentified Analyst: So they are paying kind of minimum royalty. So could you see an increase in revenues from that or –
Joe Harary: Usually, the royalties are not so much that they're going to make a huge difference compared to the earned royalties that we get on the sale of products. But they're meant to separate the companies that are interested in being curious about a technology and those that want to develop a product for it. So the real revenue we expect from Daimei is not from the minimum royalties or the upfront fees, it's from them selling a ton of sun visors.
Unidentified Analyst: I missed – I did miss part of the call.
Joe Harary: And this also has the personal interest of the CEO of Daimei. So we're talking about a project that has very high visibility within the Daimei organization.
Unidentified Analyst: Okay. I did miss a part, so I'm not sure, if you addressed this. But is it possible to give us a little bit of guidance of revenues over the next one, two and three years?
Joe Harary: I think everybody, including Gentex has suspended any guidance past 2020, because of uncertainty about the COVID-19 situation. And I think that, it's probably prudent that they did it. And we've always maintained that, we don't give that kind of guidance because it's very hard to predict the business of 45 different licensees.
Unidentified Analyst: Okay. Thank you for that, Joe.
Joe Harary: Thanks a lot.
Operator: Our next question comes from John Nelson [ph]. Please state your question.
Unidentified Analyst: Hi, Joe, I have just a couple.
Joe Harary: Hi.
Unidentified Analyst: Hi. I have just a couple of questions. The first one is the press release on the day you registered for Daimei read. Product is currently being developed. Do you have kind of a rough guesstimate as to when they'll have a product available for vehicle production? And when potential orders could start?
Joe Harary: I have – yes, a good sense as to when both of those things are going to happen, but it's not something that Daimei would want me to share. But yeah.
Unidentified Analyst: Okay. And in the first quarter call, you mentioned about some very high – you mentioned the Brazil armored glass licensee and you also said that there were some very high-profile uses of SPD, armored glass products coming. Do you have – are there any examples you can share with us on that?
Joe Harary: Yeah. Thanks. I forgot to address that from the question you mailed, and I apologize. So SER in Brazil was very severely affected by COVID-19. The whole country was basically shut down. What I was referring to about a very high-profile use of SPD-SmartGlass in armored product was not related to them, by the way. And it still hasn't been made visible. And due to the nature of what it is, you may see it we may just never be able to talk about it. So, if you see blue glass on something, it's probably us. If it switches it's us. Let me put it in that way.
Unidentified Analyst: All right. That's it. Thanks very much.
Joe Harary: Thanks a lot, John.
Operator: Our next question comes from August Berman [ph]. Please state your question.
Unidentified Analyst: Hi, Joe. How are you?
Joe Harary: Hey, August. How are you?
Unidentified Analyst: Good. And how you doing? Just a couple of questions. Wondering if you could touch on. The AGC Wonderlite Dx product was this something – I know you had mentioned in the previous couple of quarters about maybe seeing some products that weren't as high end as our product coming into other vehicles. Is this something that we can look at saying, hey, this is kind of a step down from our own product with SPD? Is it something, we're going to start to see more often with AGC? Are they continuing to market our SPD traditional Wonderlite product?
Joe Harary: Yeah. What – thank you for the question. So what typically happens when you're successful in an industry is everybody wants to be you. And I mentioned a couple of conference calls ago that you're going to start to see some SPD want to be technologies out there, and PDLC is one of those technologies. Now, don't get me wrong. PDLC is really, really good for privacy. It's less expensive than SPD, and it's very effective at privacy because what it does is it diffuses light. But it doesn't block it. So I think what you're going to see when you see vehicles use anything other than SPD on a roof or on a side glass, is that it's going to diffuse the light, but the experience of the automotive industry has been that when you do that with a PDLC product, it creates a greenhouse effect. So not only is it not blocking heat, it's creating heat inside the vehicle. So sometimes, these kind of things become apparent as you get close to series production and the cars introduction, and they've done the – they've gotten the cars out on the road and they've tested it. And they've had people drive them before they're launched. And I don't wish you'll warn anybody. But I think that there's going to be an awakening, if you will, that the PDLC product as it's proposed to be used, not for privacy but for shading is not going to be as effective as people hoped. We've also heard anecdotally from some very, very reliable sources that we have direct connections with that both the PDLC that was tried and other technology that were tried are basically being abandoned, because they just don't have the performance of SPD. So really to boil it down, the two issues that you have with SPD are cost and color. Now blue is okay for roofs, because people look up and they see blue in the sky and they like it. It's good for the top of windshields or sun visors, because of the blue shade band that has been very popular for the last couple of decades. For side glass and rear glass, we probably want to see something that was a little less blue and either making the film darker would make it less blue. Because, basically the reason that the glass looks blue is that you're transmitting blue light. So, the less light that comes through, the less blue it's going to look. And we're blocking 99.5% of the light, but that 0.5% that we're transmitting is transmitting is blue. So it looks blue. We got it darker, it looked black or gray. And the cost I think we talked about -- and the cost we talked about is something that we're being -- is being addressed now through multiple sources of supply, and our supply chain sharpening their pencils and dealing with the automakers and getting the cost down, so that we can move from the premium market down to less expensive cars.
Unidentified Analyst: Okay. So the PDLC is cheaper at this point than we are...
Joe Harary: Oh yes. Yes. It's cheaper.
Unidentified Analyst: Yes. Okay. And just one follow-up here. I know we had kind of just based upon intuition and kind of reading around thinking that we might see some sort of new OEM or vehicle in 2020. I know due to the pandemic everything has been delayed. Are we still thinking everything is on track in terms of maybe things have been just delayed rather than showcased in 2020?
Joe Harary: I think most vehicles are still on track. Clearly, everybody is working as fast as they can but, because they're working in a different way. And for some companies that's more difficult than other companies things have slowed down at some of the vehicle manufacturers. But, I think we're still on track. And a couple of things have fallen by the wayside. I mean cars some car models that were supposed to be introduced were abandoned not because of SPD, but just in general. So, because we had so many of these projects in the works some of those vehicles might have fallen off the list. But, I think on balance, a lot more projects have been added to the list since we started talking about it.
Unidentified Analyst: Got it. Thank you.
Joe Harary: Thanks.
Operator: [Operator Instructions] Our next question comes from Neil Levin. Please state your question.
Unidentified Analyst: Hi Joe, how are you?
Joe Harary: Hi, Neil. Hope you’re doing well.
Unidentified Analyst: Well, we are surviving like everybody else.
Joe Harary: Yeah. Glad to hear it.
Unidentified Analyst: I just had one question. Well, maybe I have two. I have one question about something I saw down on Dallas Road at Waterfront last week. There's a building that's going up right on the water that has a lot of blue glass. And I was wondering if you could comment on whether that might be SPD or not.
Joe Harary: I don't believe it is. I'm not aware of a project specifically in Sarasota, Florida that was recently constructed that uses this. But it is possible. It depends on when the glass was installed and sold to them really. But I would doubt that it's SPD. I think it's just good tinted blue glass.
Unidentified Analyst: Okay. That was it for me then thank you.
Joe Harary: Okay. Thanks a lot.
Operator: Our next question comes from Thomas McCarthy. Please state your question.
Unidentified Analyst: Hi, there Joe. How feasible is it to add a colored filter to the glass to make it appear to be different colors other than blue? And has anybody tried it? And is anybody doing it?
Joe Harary: Yeah. There's been a number of approaches like that that have been done. Basically, if you're familiar with BluBlocker Sunglasses. BluBlocker Sunglasses block blue light, because they're ambered in color. So, a slightly amber filter will make it appear less blue. The other way to do it is, as I mentioned to reduce the amount of light that's coming through in the dark state from 0.5% to something less. Because it appears blue, because that's what's being transmitted and there's blue light in day-lighting. And then there's also the third approach, which has changed the inherent nature of the particles, which right now block every area of the visible spectrum other than dark blue to be another material. So those are the things. And then, you could play with the glass or the interlayers. So, in any kind of glass laminations, there's usually a hot melt adhesive sheet that's put in there. And if that was colored you can adjust that. You could adjust the outer tint of the glass by traditional coatings, so that you could do that. So you could color match the outside glass to whatever building or vehicle or other glasses in the building quite easily. So, there's a lot of different methods of doing that.
Unidentified Analyst: So different colors are definitely fusible? Is there anybody...
Joe Harary: Definitely fusible and definitely on our radar stream.
Unidentified Analyst: Okay. Is anybody doing it? Is there a final product available anywhere?
Joe Harary: We've done projects for automotive manufacturers that would color code the color cubic glass to a certain desire by the designers. That's all I could say.
Unidentified Analyst: Okay. Well, thanks. Keep up the good work.
Joe Harary: Thanks, Tom.
Operator: Our next question comes from Neil Gottlieb. Please state your question.
Unidentified Analyst: Hi Joe it's me again. I have one further question.
Joe Harary: Hi Joe.
Unidentified Analyst: How is it going? This year my cell phone has overheated more than once. And I was just wondering if this technology can be used to help cell phones to prevent that state from happening?
Joe Harary: Usually, it depends on what's causing the overheating. If it's sunlight hitting the glass, the answer is yes. Often though the reason your cell phone overheats is because your battery has an electrochemical reaction in it. And it's that electrochemical reaction that become exothermic and is creating the heat. Now, I mentioned that for two reasons. Number one, I'm trying to explain why your cell phone may be heating up other than being exposed to heat. But the other thing is electrochromic technology is very similar in nature to the electrochemical reactions that are going on inside that battery. And there has been reported in some instances electrochromic windows that have gotten so hot that they've melted the surrounding sidewalls. So, what you're experiencing on your phone may experience -- be experienced with some other technologies like electrochromic in certain cases. So, I mentioned that because you asked the question.
Unidentified Analyst: It will. I'm presuming it's I think the sunlight because it happened poolside more than once where I left my phone on the table and I come back and it's tell me the phone is overheated. I have to get it out of the sun. So, I was wondering is this something that the company is pursuing or it's not feasible at the moment or we may just have to--
Joe Harary: We work with various cell phone manufacturers not specifically for that. I mean I think where we're going to make a meaningful difference in the display market is -- we already talked about Panasonic and the transparent display product that they have the transparent screen. But also just enhancing the contrast of displays that's probably going to be our main contribution to cell phones, but you'd never know. Just one thing we found Neil is that it took a while for the automotive industry to really wake up and understand that when they use glass in vehicles, it creates a solar heat gain problem that needs to be managed. But we get approached weekly from auto companies that are specifically trying to deal with that situation. And we've been talking about this for years. I wouldn't roll out in the cell phone industry somebody saying, hey why don't we look at the switchable technology to see if we can produce -- reduce the chance of Neil's phone overheating at the pool.
Unidentified Analyst: My assistant told me throw a towel over it. If I could remember that I would.
Joe Harary: Yes. So, the other thing that may be happening is whenever heat is introduced into any chemical reaction it happens faster. And it could be that the electrochemical reactions inside the battery are being triggered by the heat from the sunlight also even though it's not directly striking it. It's just creating a heat that creates the catalyst.
Unidentified Analyst: Okay. Thank you.
Joe Harary: Thanks.
Operator: Our next question comes from Seth Nicholson [ph]. Please state your question.
Unidentified Analyst: Hi Joe.
Joe Harary: How is going?
Unidentified Analyst: I was wondering if -- you mentioned early on about NSG shipping television and information displays. I wonder if you could give us a little color on it. Is that like Xiaomi or--
Joe Harary: Their customer -- the publicly disclosed customer was Panasonic and it's a transparent screen product that Panasonic is -- if you go on the Internet, you'll see some amazing TVs that turn into clear windows and that's us. And you may even see a lot of commentators in the consumer electronics industry were marking on how black the blacks finally look because of this additional film that's added to the display to allow them to achieve it. But it's typically an OLED display with an SPD backplane.
Unidentified Analyst: That's all the way on the back, so it doesn't reflect onto the world behind it. It's not in front to an--
Joe Harary: Yes, usually it's being used not for your traditional, TVs but ones that will turn into a completely clear window. Think of how cool it would be if you looked out your window on to patio and you see whatever view you have and then all of a sudden that becomes a high-definition TV. That's what we can do.
Unidentified Analyst: So, you prevent it from projecting that high-definition TV onto the trees outside basically?
Joe Harary: No, no the other way round. It prevents light from bleeding through from the back from let's say the outside to prevent you from seeing a highly vibrant image on your TV.
Unidentified Analyst: Look, well -- all right. So, it's basically the same. It's both. It's substance coming in and going out the back.
Joe Harary: Yes. Although nobody really cares about light leaking out through the back. It's more than a light strike they eye. Yes, it's more the light striking the eye is why Panasonic does that.
Unidentified Analyst: One last question. I know they have a lot of turtle codes. I'm down in Florida. And they have turtle codes about light reflecting out when the turtles are laying eggs and it confuses them and stuff. And I really thought that would be a great market that would take off and I haven't seen -- yes I--
Joe Harary: It will. It will. Remember Seth that up until really this year, we haven't had film wide enough to address the architectural market. But I grew up in Florida also where any house within a certain distance of the beach had to had glass that was at least 40% tinted I believe or 40% transmission because what would happen is the sea turtles were mistaken the light from your home for the moon. And what they would do is they go up on the beach lay their eggs and then follow the full moon back into the ocean. What they were doing is following the light from your house and getting run over by cars. So, they implemented the turtle codes, which you referred to. And now that we have wider film, that's certainly an area we could address.
Unidentified Analyst: Thanks, Joe. Good luck.
Joe Harary: Thanks.
Operator: At this time, we have no further questions.
Joe Harary: Okay. Well, if we haven't fully answered anyone's questions, please feel free to call or email us. And now I'd just like to make a closing remark or two. Continental Automotive noted that the second quarter of 2020 was the weakest quarter for the automotive industry in 75 years that's since 1945. But the industry seems to be rebounding from this low watermark with some firmness. It may take a while for the automotive industry to fully recover, but we are on our way, and we're seeing a noticeable increase in smart glass projects in automotive. Last year, we spent building and strengthening Research Frontiers. It's a good thing we did. No one could have predicted a worldwide pandemic, but Research Frontiers was certainly prepared for it. What did we do to prepare? We focused on strengthening our business and our company. We now have multiple producers of SPD film. We have wider SPD films, so we can pursue the architectural glass market. We reduced the cost of SPD technology to the customer. We strengthened our balance sheet. We have enough cash for the next three years and a very modest quarterly burn rate and we expect to continue to be debt-free. We're in our sixth consecutive year of cost reductions. We approached breakeven again even in a bad second quarter for the world economy, with a loss of just $0.01 per share which is one-fifth of what it was in the second quarter of last year. Our net loss for the first half of this year is less than half of what it was last year. And let's not lose sight of the fact that we have the most reliable and highest performing smart glass in the entire industry. And also let's never lose sight about why customers use our SPD-SmartGlass technology. In automotive, we make cars more energy efficient. We reduce CO2 emissions by four grams per kilometer and increase the driving range of electric vehicles by up to 5.5%. We also make people more comfortable and safer and protect the interior of their cars. In architectural applications, we make buildings more comfortable, energy-efficient and functional. We preserve nice views. And as we've seen from the hospital market that certain shades can collect allergens dust and germs and we protect against that. A stronger more efficient supply chain and lower production costs and higher production capacity all make it easier for companies to use our technology. And we've had good results in our core markets and new projects in all industries. And these industries have a better understanding of the benefits of using our smart glass technology. We and our licensees are opening up new markets such as, the large architectural smart glass market. Our competitors are losing ground and our licensees are pushing hard in this market. We can also benefit from the more than 50 certified laminators that Gauzy already has in this market as well as our own licensees in this market. On a more general sense, we are tough, we are tenacious. We're nimble. Through our licensing business model, we've built the company with the resources of an aircraft carrier and the maneuverability of a speed boat. We have weathered past economic crises and we weathered the current pandemic storm. I think that a large part of this survival and even the ability to thrive even in difficult times comes from some of our core principles that have helped us lead the growing smart glass industry. We built a strong and enduring company through focus, hard work and determination. We raised money on favorable terms when we did not need it, so it would be available when we do. We maintain a constant focus on maintaining a lean operation with minimal capital expenditures and requirements. And we kept a strategic focus on key markets and industries. We built a business that is well diversified across industries as well as within industries and one that is also well-diversified geographically. We did this while at the same time building a world-class and reliable light control technology that has brought benefits to so many people and companies around the world. And more of these companies are coming to us each week to help them solve challenges and add new features to their products. Those are the reasons that we work so hard. And also those are the reasons that I think you've been seeing every insider acquire more and more stock whenever we can and hold on to it. So we're all fellow investors just like you. And as always I want to thank you our strong and loyal investors for your support, while we built these qualities into our business. Thank you.
Operator: This concludes today's conference call. Thank you for attending.